Operator: Greetings and welcome to the Materion Corporation First Quarter 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Mike Hasychak, Vice President, Treasurer and Secretary for Materion Corporation. Thank you, sir. You may begin.
Michael Hasychak: Good morning, this is Mike Hasychak. With me today is Dick Hipple, President, Chairman and CEO; John Grampa, Senior Vice President, Finance and Chief Financial Officer; Joe Kelley, Vice President of Finance; and Jim Marrotte, Vice President and Corporate Controller. Our format for today's conference call is as follows; John Grampa and Joe Kelley will comment on the first quarter 2014 results and the outlook, and Dick Hipple will provide additional commentary. Thereafter, we will open up the teleconference call for your questions. A recorded playback of this call will be available until May 9, by dialing area code 877-660-6853 or you can dial area code 201-612-7415, conference ID number is 13579692. The call will also be archived on the company's website, materion.com. To access the replay, click on Events and Presentations on the Investor Relations page. Any forward-looking statements made in this announcement, including those in the outlook section and during the question-and-answer portion are based on current expectations. The company's actual future performance may materially differ from that contemplated by the forward-looking statements as a result of a variety of factors. Those factors are listed in the earnings press release issued this morning. And now, I'll turn it over to John Grampa for comments.
John Grampa: Thank you, Mike. Richard, will review the financial results for the quarter then I will return and review the outlook. Following my comments, Dick Hipple will review the state of our key markets, and provide his perspective on certain specific key new product initiatives as well as other developments. Following Dick we will open the call for your questions. Joe?
Joe Kelley: Thank you, John. I will cover first quarter sales, margins and earnings. I will then review the key changes in business levels by key markets, comparing the first quarter of 2014 to the first quarter of the prior year and sequentially compared to the fourth quarter of 2013. I will also make some great comments on the balance sheet and cash flow. Looking at our first question 2014 financial performance, sales for the quarter were $258.9 million down $40.3 million or 13% from first quarter 2013 levels driven primarily by changes in precious metal market pricing. Value-added sales for the first quarter were $144.9 million down only 4% below the prior year first quarter value-added sales. The year-over-year decline in value-added sales is attributable to lower volumes related to sever weather conditions at our facilities and our customer's facilities. Inventory destocking and the automotive supply chain and lower shipment volumes of hydroxide this later factor is due to the fact that hydroxide shipments to our one hydroxide customer are now quarterly versus semi-annually in the prior years. Gross margins in the first quarter was $45.5 million around 6% from the prior first quarter gross margin of $48.3 million. Gross margin expressed as a percentage of value-added sales was 31.4% in the quarter inline with prior year margins of 32%. Improved product mix and manufacturing efficiencies plus reduced cost related to the company's facility consolidation efforts resulted in comparable profit margins year-over-year despite the lower volumes in the quarter. We're clearly starting to see the financial benefits from our facility closure and product line rationalization efforts. Plus we are seeing improved productivity as a company's beryllium pebble plant. During the quarter, the pebble plant achieved approximately 75% of its targeted end of year 2014 output rate and is on track to meet or exceed 85% of the forecasted end of year production efficiency levels in the second quarter. On the facility closure and product line rationalization front, the vast majority of the work is completed. And the company is well on it's way to achieving the identified $0.30 per share targeted annual cost reduction benefit. In addition to permanently lowering our cost structure, this facility reorganization is enabling us to better serve our customer and markets. One example of this benefit is visible in our microelectronic packaging product line. We relocated the production of this product from the U.S. to Asia during 2013 in an effort to consolidate our operations and be closer to our customers. The sales and profit margins generated from this product line in Q1, 2014 are exceeding targeted levels and we're well-positioned to leverage our standard Asian manufacturing footprint to capture additional market share in the region. Operating profit for the first quarter of 2014 was $11.1 million or 7.6% of value-added sales. This included a net benefit of $2 million associated with the facility consolidation efforts as the company recorded approximately $600,000 of consolidation expenses offset by a $2.6 million gain on a sale of related assets. Excluding this net benefit, adjusted operating profit was $9.1 million, 4.6% or $400,000 below prior year Q1 levels. Adjusted operating profit margin expressed as a percentage of value-added sales was 6.3% in the quarter. In spite of the lower volumes, first quarter operating profit margins extended 110 basis points ahead of full year 2013 levels on the same adjusted basis. Looking at the profitability of the segments you see a mix bag. Advanced Material Technology and Beryllium and Composites profit margins are improving nicely. AMT operating profit margins on adjusted basis extended to 8.6% of value-added sales. This is 370 basis points above prior year levels as we realized the benefits from the facility closures and product line rationalization efforts. Beryllium and Composites operating profit margins extended to 7.1% of sales compared to negative margins in the prior year as the pebble plant production is ramping up to targeted levels and product mix is improving. Off setting these meaningful and sustainable improvements and margins, the first quarter profit margins of Alloy and Technical Materials were well below typical levels. Alloy margins were negatively impacted in the quarter by the change in order pattern of its hydroxide customer and the severe weather issues. Technical Materials quarterly profitability was heavily impacted by the destocking of the automotive electronic supply chain. We view these factors which negatively impacted margins in the quarter to be temporary in nature and should not be factors in the second quarter. Net income for the first quarter was $7.3 million up 8% from prior year levels and EPS was $0.35 per share. Adjusted for the net benefit our facility closure cost and related asset disposal gains net income was $6 million or $0.29 per share. This is well ahead of the previously provided guidance of $0.20 to $0.25 per share and ahead of incentives pre-estimates. The better than guidance EPS performance was driven by stronger demand levels in the later part of Q1 and better than anticipated product mix. Turning now to value-added sales by end markets. When comparing the prior year levels, value-added sales were down approximately 4% and compared sequentially to the fourth quarter of 2013 were down 8%. As previously referenced abnormally sever weather in the quarter negatively impacted value-added sales as did the automotive electronic destocking continues to sense sequestration and lower hydroxide shipments. That said from an end market perspective, when comparing to - the first quarter of the prior year, value-added sales were higher by 5% in our largest end markets, consumer electronics. Shipments in the energy applications were up 16%. However, value-added sales in defense decreased 25%. Telecom infrastructure decreased 17% and automotive electronics decreased 15%. Both medical and industrial components decreased 10%. Comparing value added sales in the first quarter sequentially to the fourth quarter of 2013 business levels were relatively flat in consumer electronics and automotive electronics. While value-added sales into defense were down 39%, energy was down 18% and medical was down 13%. The meaningful decrease in defense value-added sales which today account for approximately 5% to 10% of our consolidated value-added sales, is primarily related to the ongoing affect of the cutbacks in government programs that began in early 2012. Finally, let's look at the balance sheet and cash flow. The company began and ended Q1, 2014 with a very strong balance sheet ending the quarter with $19.3 million and $73.6 million in net debt. The company's balance sheet and its cash flow provided the flexibility to return approximately $31 million of cash to shareholders in the form of our regular quarterly dividends and opportunistic share repurchases. During the first quarter $1.6 million of cash was returned to shareholders in the form of dividends and $1.5 million was returned in the form of share repurchases. A total of approximately 51, 000 shares were repurchased during the quarter at an average price of just below $29 per share. The company's cash flow from operations in the first quarter was fairly typical due to seasonal and other operating factors. We fully anticipate meaningful positive free cash flow from operations as we move to the remainder of 2014. This concludes the review of our Q1 financial performance. And I would now like to turn the call back to John, who will review our outlook for the remainder of the year.
John Grampa: Thank you, Joe. The first quarter was an encouraging quarter. Our value-added sales volumes were lower when comparing to both the same quarter of the prior year and sequentially to the fourth quarter of 2013. This was anticipated in the guidance that we provided for the first quarter and was due to the factors that Joe just described. While it's difficult to get a good read on demand levels and how markets in general are developing, we are optimistic albeit cautiously optimistic about how 2014 is unfolding at this time. There were several favourable developments in the first quarter that support our optimism. Order levels were solid and improving. The cost reduction and product line rationalization initiatives taken during 2013 are delivering the anticipated benefits and beryllium pebbles plant is operating a targeted production levels and efficiency rates. In addition, as we entered the second quarter, order levels continue to improve. Over the past 10 weeks, order entering is up by over 10% when comparing to the same 10 weeks of the prior year. Business levels in consumer electronics continue to improve and areas that were weaker in the first quarter are also fearing to gain momentum. Specifically, automotive electronics and telecommunications infrastructure now appear to be gaining some traction as well. In addition, the items that Joe described, the tampered margins in the first quarter should not be factors in the second quarter. Thus both value-added sales and margins to improve nicely beginning with the second quarter. In addition to the progress in these areas, subsequently end of the first quarter, the company reached a settlement with its insurance carrier related to the claim for the silver theft that occurred at our Albuquerque, New Mexico facility during 2012. We received a cash settlement of approximately $6.8 million. This settlement will favourably affect second quarter and full year by approximately $0.20 per share. As we noted in the press release, our guidance for 2014 is intact. Results on a GAAP basis including the insurance settlement in the first quarter cross related to the facility closing narrowed the benefits of the related asset sale are at this time expected to be in the range of $2.02 to $2.22 per share. Earnings for the full year 2014, excluding these two factors are expected to be in the range of $1.75 to $1.95 per share consistent with our previous guidance. Finally for you modelling purposes, we expect free cash flow for the year to be in the range of $60 million. We expect a tax rate of approximately 30%. We're looking to capital spending to be in the area of $35 million and depreciation and amortization of approximately $45 million. That concludes my remarks. I'll now turn the call over to Dick Hipple.
Richard Hipple: Thank you, John. During our last year I often commented on the heavy lifting we had to do to improve the performance and reposition the company for profitable growth. There was a lot of smoke on the battlefield that I indicated would begin to clear as we moved into 2014. In our first quarter results one important first step of the smoke clearing and I expect further earnings improvement as we move through the balance of 2014. We are now capturing our restructuring savings and our pebble plant continues to meet our ongoing higher production targets. And we've seen a nice lift in our order rate as compared to the last year level. The lift in business is general in nature, including in the markets that were the weakest coming into 2014, such as in the automotive inventory adjustment we saw in the first quarter. So, this lift maybe a rebound from the negative supply chain affects of the weather related shipment delays and factory outages that we did incur in the first quarter. All-in-all, three of our eight key markets were stronger in the first quarter than last year and we expect seven of the eight to be stronger in the second quarter, only defence will be weaker. Our global macro conditions do not seem to be particularly robust as seen in the fairly soft PMI trends across the globe. We are seeing an improving demand environment bolstered by our new product pipeline. We positioned ourselves well with applications in markets that we expect will support our greater than GDP forecast. During the quarter, we continue to ramp several products that we invested in during 2013. And I'll comment further on a few examples. We were qualified last year and are now entrenched in the supply chain in our optics division in Shanghai for direct control for gaming devices. This technology is expected to provide a multi-year growth platform. Another example also in optics, is that at the end of last year we completed an adjustment in our facility in Westford Massachusetts, focused on wafer level processing. This provides a new lower cost platform for our customers to expand the application of IR technology, the non defence applications. The technology has been well received and we are now ramping sales. We also continue to invest in new capability at our Milwaukee facility to support increasing demands for our unique phosphor pre-closure materials for high intensity LED. Our investment in additional ToughMet alloy capacity last year at Elmore Ohio was also well timed as we had another record year of production and need the additional capacity to support our new product introductions in numerous markets like, oil and gas, commercial aerospace and consumer electronics. Two new products are well underway in our beryllium composite division which includes our new investment casting products, which is undergoing qualification with Lockheed Martin for the F-35, and liquid metal, an amorphous metal which is under qualification in several markets and applications. We have also begun our expansion of production capability at our hydroxide processing plant in Utah to prepare for the expected change in supply demand dynamics over the next several years. Our proprietary advanced battery connector technology for electric and hybrid batteries from our Technical Materials operation in Lincoln Road Island, is finding its way into a broad range of customers and we expect good growth in the second half of 2014 and beyond. We are also in the midst of numerous new product qualifications at our medical overall business in Windsor Connecticut that focuses on diabetes or blood glucose test strips. The product currently, primarily uses gold, so many initiatives are underway in platinum and palladium to provide lower cost products. In summary of Materion, we are focused on growth opportunities driven by unique technologies and materials positioned in good growth markets. I'm confident you will be seeing the results of these initiatives this year and over the next several years. Operator, we will now take questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of Edward Marshall with Sidoti and Company. Please proceed with your question.
Edward Marshall - Sidoti and Company: Good morning, everyone.
John Grampa: Good morning.
Joe Kelley: Good morning.
Edward Marshall - Sidoti and Company: I'd like start at the revenue line if I could, I'm wondering, you've mentioned several different things that impacted the quarter, destocking weather, hydroxide shipments. I assume that hydroxide shipments will be an ongoing kind of, go ahead, wonder if you will, just, not on an annual basis but on the quarterly basis. I'm just curious, can you list in the order of priority or maybe the largest impact by -- what was the largest impact and what was the smallest impact? And if you could quantify the different buckets there, that'd be great.
John Grampa: Sure Ed. This is John Grampa. First the hydroxide shipments situations, that is not a headwind that is the demand level being shifted in four quarters as supposed to semi-annually, as it was in prior years. This is something that a customer wanted and it works best for us for supply chain, dynamics and production dynamics as well. So, that had an impact on the first quarter, because in the prior year we had a full shipments in the first and fourth quarters I believe, that supposed to now, we're going to have about equal shipments in each quarter of the year. So, the demand level there is still approximately $15 to $20 million a year but now its spread between quarters. The dynamics of the automotive electronics destocking and the weather related factors, they both affected value-added sales by about $2.5 million each in the quarter. So, for those two items, it's about $5 million decrease versus prior year. And then defence sequestration and the change in hydroxide shipment pattern are each worth about $3 million in value-added sales, in terms of how it affected the first quarter. So therefore, while we were down $6.5 million year-over-year in value-added sales, those factors actually hurt us by about $11 million. So across our other businesses in general, across the other markets we're therefore up about 3% year-over-year.
Edward Marshall - Sidoti and Company: I see.
John Grampa: Hopefully, that helps you.
Edward Marshall - Sidoti and Company: Yeah. You said defence sequestration, what was the second item of that, that was also $3 million impact?
John Grampa: The hydroxide shipment impact.
Edward Marshall - Sidoti and Company: Hydroxide shipment. Now, does that imply that you'll be, - I'm just analyzing that number, its going to be $12 million, did you say the number was $15 million to $20 million last year?
John Grampa: No, no, last year - it will be about, - last year it was 15 to 20 I believe I must have had number. No, I'm being correct here.
Joe Kelley: It was little higher, it was about 12.
John Grampa: You're correct, it is $12 million.
Edward Marshall - Sidoti and Company: $12 million, okay. And for 2Q and basically with 2Q, 3Q we should see that impact reversed. So we should see about $3 million in each of the two quarters, is that about roughly?
John Grampa: That's correct.
Edward Marshall - Sidoti and Company: Okay. If I want to get to the advance material segment if I could and obviously the margin was eye opening. I assume that with a $3 million asset gain that was in there, that's on the cash flow statement that ran through that segment and what was lost?
John Grampa: The gain on sale of the asset that was $2.6 million and then offsetting that we incurred in the quarter $600,000 of consolidation expense that fell over from our Q4 efforts.
Edward Marshall - Sidoti and Company: Okay. And so, the question I have is the, still looks like a pretty decent margin, what was the rest of, - you had a restructuring benefit anticipated at $0.30 for 2014, can you say -
John Grampa: Yeah, let me give you a little GAAP analysis on that for you because I think that's really important, it's a great question. The gain on the sale of the assets net of the restructuring costs that we heard in the first quarter was approximately $2 million of OP improvement. The restructuring savings was just over $3 million in the quarter. And the impact of the lower value-added sales therefore, you had those two numbers together, you recall the OP reported for the quarter, so the impact of the lower value-added sales in that quarter and other business factors approximately $1 million.
Edward Marshall - Sidoti and Company: Okay. And then, if we could just hop on down to the pebble plant and, I appreciate the kind of, -- the analysis on the percentage shift in the quarters. And I'm just kind of curious if we can talk about maybe the goal that you have, the projected goal this year, and I don't know if you want to quantify this, even though its material for me to understand. But, can you maybe talk about the year-over-year growth that you anticipate and what was shipped last year versus the target goal that is shipped this year. And see if I can kind of work back into the total profitability ranges for that?
John Grampa: I think, the best way to take advantage is not so much in terms of the volume itself because you have significant movement that will occur in individual products inside that business. We're on target for the three, I think we said $4 to $5 million year-over-year improvement in profit in that business, is probably on the high-end of the range at this point in time. We had losses last year, we'll have profits this year.
Edward Marshall - Sidoti and Company: Okay. Can we talk about maybe the production shipments, how does that mean,-- I guess some of that could also be mix but if I can kind of look at that, I understand you have, I don't want to say unlimited capacity but you don't anticipate that you've filled the capacity in that facility, if I'm correct. How much more outsiders we look into 2015, could you see out of the pebble plant, I'm just kind of curious about maybe 2014 over 2013, I mean, are you're doubling the amount of shipments for the coming year, just kind of a growth estimate for that?
John Grampa: You know, we've talk a lot about the pebbles plant in terms of production volume but there are other supplies for the shipments side. So, from a production standpoint, we are anticipating meaningful 20% plus increase in production of the pebbles plant sales.
Edward Marshall - Sidoti and Company: And, so, do you assume that the beryllium and composite segments itself could be up 20%, and so pricing involved in that? Is there something offsetting? Maybe that's also running through the beryllium mill itself that could slow that number down, just kind of help me figure that out?
Richard Hipple: The pebble plant produces the raw material, the beryllium in the form that we need to manufacture our products. What it is doing for us, is allowing us a more continuous and stable and cost effective supply of material and it avoids us having to go out to the outside world to buy materials to fill our needs and also allows us to schedule our plant in our operation for more efficiently. So, what we're going to get on top of this continuous supply to meet the extended needs is a more stable and consistent cost basis as we also improve the output of the plant and get more comfortable with the equipment we will improve the efficiencies and the cost per pound. So it is difficult to relate the output of the plant with the end sales because we do have the sales that's driven by our demand in the marketplace it allows us to meet that demand internally as oppose to going to external forces. And we also had some supply chain interruption, so the way I look at it probably interrupted our capacity is shipped by 5% to 10%, maybe shipments that we missed, that we should have had because we just didn't have a stable supply chain through the system and with the pebble plant up and running that gives us, we're not going to make any miss shipments here. So, there is kind of latent ability for us to ship faster and provide shipments to customers that need things right away that maybe otherwise we weren't able to do before. So, Jim its right, its basically a stable supply chain situation we have that drives for lower cost, lower inventories and improved probability.
Edward Marshall - Sidoti and Company: Okay.
Richard Hipple: And somewhat higher shipments that we'll be able to make. And Ed to your other point, our actual capacity will still have latent capacity that's much higher that should market - certain markets develop, - we can certainly ship another 30%, 40% of materials.
Edward Marshall - Sidoti and Company: Okay. And then if I look just maybe on the sequential margin of that business and assuming that you're going to be producing more and more to target on an ongoing basis, it sounds like, is this the base case for, base run rate number for 2014, you would assume that you'd bid on this number from a sequential basis or is there something else that was in there, there's a positive or negative that I should be aware of?
John Grampa: I think that the first quarter numbers, I would not held on sequentially, demand levels in this particular segment we'll find lower shipments in the second quarter than in the first because of the chunky nature of the business that I bet it is. From a progressive perspective looking at margins year-over-year, we certainly should see, - well obviously we have negative margins last year but we should see ourselves well ahead of -- for the year in total well ahead of where we are at presently. We probably should see operating profits as a percent of VA there, began decline towards the double-digits as the year progresses but for the year on average, we're still going to be probably in that 6% to 7% range.
Edward Marshall - Sidoti and Company: Okay. Thank you very much. One last question, I'm sorry, you said, didn't you say, $3 million to $5 million of improvement, a $4 million to $5 million of improvement operating profit year-over-year, that would imply, roughly $1.5 million at the higher end of profit in the year. And did you say that you're expecting 7% margin on a blended rate for the year?
John Grampa: Yes.
Edward Marshall - Sidoti and Company: This is - does the math work, am I missing something because I get you $1.5 million in profit for the year.
John Grampa: I don't know how to reconcile that while we're here on the phone. You got to assume based on what Dick said, you're also going to have some improved VA.
Edward Marshall - Sidoti and Company: Okay. All right.
John Grampa: You have a shipment impact as well.
Edward Marshall - Sidoti and Company: Okay.
Richard Hipple: We can talk about that later.
Edward Marshall - Sidoti and Company: Okay. Thanks guys.
Operator: Thank you. Our next question comes from the line of Avinash Kant with D. A. Davidson. Please proceed with your question.
Avinash Kant - D. A. Davidson: Good morning, Dick, John and Joe.
John Grampa: Good morning, Avinash.
Avinash Kant - D. A. Davidson: A few questions, the first is that, you were talking about operating margin in relative to the last year, what was the decline or increase in various segments, I don't think we got the numbers on the performance alloy and technical materials, do you have those numbers?
John Grampa: Performance alloy, operating profit as a percentage of VA in the quarter was 6.5% and Technical Materials was 2.0%. So as I referenced in my comments those were down from the typical levels in those business. Associate specifically with the hydroxide issue and weather as you look at performance alloy and then associated with the automotive destocking that impacted Technical Materials.
Avinash Kant - D. A. Davidson: Okay. And also, talking about pebble plant a little bit, are you in a position to give us some idea in terms of what percentage of production at the pebble plant is right now being used for internal sales and how much is going to external sources?
Richard Hipple: 100% service of consume.
Avinash Kant - D. A. Davidson: 100% service of consume, right. So, what we're trying to understand Dick and John maybe you can help is that, as the production at pebble plant continues to ramp, what kind of margin improvement should we expect and any metric - if the utilization goes from 50% to 75%. This is the kind of improvement in margin in that particular segment that we can expect any reference to that will be helpful.
Richard Hipple: Again I don't think we can give you a reference to that because as Joe indicated, you have from period-to-period you have chunky volumes in this business. As you know, we have lumpy sizeable orders that can move from period-to-period. So, production levels while they maybe smooth throughout the period, margins from period-to-period can move around significantly. So I don't think you can bridge the two. I think its best to reflect the overall macro which is given this in the prior year demand levels were not met because of the inability to produce enough material. We'll have some increase in demand levels year-over-year. Our order of magnitude I would say minimum of let's say $5 million and then you have the benefit of the increasing production levels getting to our targeted levels by the end of the year and that should give us $4 million to $5 million year-over-year segment of the improvement. I think that's the best way to think about.
Avinash Kant - D. A. Davidson: $4 million to $5 million right. So, basically then in another way I was thinking that, if you were to, or going historically, if you were not supplying from the pebble plant, you started to be the way you were trying to peculate from outside sources versus now you're producing this at the pebble plant assuming the revenue levels had exactly the same what kind of margin improvement are you seeing? You can pick that in quarter.
Richard Hipple: That's very difficult to asses because of the -- not only the, what goes out in the marketplace for the cost of the beryllium but the cost of the availability of beryllium from external sources which is not always there, it's not always a consistent supply.
Avinash Kant - D. A. Davidson: So, are you hinting at the fact that your procurement prices would varying a quite a bit because of the market conditions you would have - applying it from outside sources?
Richard Hipple: Yeah. That's correct.
Avinash Kant - D. A. Davidson: What was the order variation 20%, 25% any idea? I'm talking about the range of fluctuation, over the past five years you can assume.
Richard Hipple: Over the past five years, there was actually over 50%, 50% to 75% variation in the purchase prices easily.
Avinash Kant - D. A. Davidson: That gives us some idea 50% to 75% is that. Okay, perfect. Now one other question for John, in terms of the R&D and SG&A cost how should we think of the rest of the year we're going to have some idea of the earning, but should it really much, or at least the liberty through the rest of the three quarters, how should we think of it?
John Grampa: When you think about our SG&A and our R&D, I think we'll take them piece by piece on the SG&A we are seeing a lot of our cost savings associated with some of the restructuring initiatives here in the first quarter. And so that should be flat to up with inflation. And then on the R&D side, I think we have some strategic initiatives to continue and invest in this area. So that should grow as you go forward. But basically as we said in our comments, a lot of the savings associated with the restructuring actions, you're seeing impact in SG&A once you adjust for the restructuring cost incurred in the quarter already in Q1.
Avinash Kant - D. A. Davidson: Already in Q1 right?
John Grampa: Yes.
Avinash Kant - D. A. Davidson: So from the cost savings perspective we are already at the base line, is that and then from here on depending upon the revenues growth things will vary, is that what you think?
John Grampa: Yes. But I will caution you that as we go throughout the year, some of the savings associated with this facility consolidation at products line rationalization, some of the cost savings we started to realize little bit Q2, Q3 and more in Q4 last year. So the year-over-year benefit will start to diminish to get them to the 30% share that we referenced.
Avinash Kant - D. A. Davidson: Perfect. Thank you so much.
Operator: Thank you. Our next question comes from the line of Luke Folta with Jefferies. Please proceed with your question.
Luke Folta - Jefferies: Good morning guys.
John Grampa: Good morning.
Joe Kelley: Good morning.
Richard Hipple: Good morning.
Luke Folta - Jefferies: The first question, seems like, you raised your free cash flow guidance. Any thoughts on what you might be expecting to do at that cash this year?
John Grampa: Sure. Obviously if you look at the balance sheet you'll see that we have - we have some debt yet to pay down. So the cash will be first applied to debt and then consistent with our past discussions regarding our overall capital allocation strategy, we'll fund the internal growth and we have about $35 million of capital that will be invested and should we have unique augmentation opportunities, small businesses to acquire, to append to our technologies and products or geographic regions that we service. We'll look at that as the next priority. And then of course we have the dividend and the share buyback announcements that we have made previously and the dividend is in the first quarter as Joe had indicated we put about $3.1 million into both of those.
Luke Folta - Jefferies: Looking at the balance sheet it seems like your leverage is very reasonable and (indiscernible) I'm wondering why debt pay down is the first priority versus either additional growth there or stock buyback?
John Grampa: Well I think that we're not getting get into the specifics of what level of share buyback what you might see us incur this year. But our largest priority is always our organic growth and the initial use of any cash would be to offset that debt with the right opportunities and you may see us invest further in growth.
Luke Folta - Jefferies: Okay. And then its pretty encouraging what you reported on the consumer electronics market. We've been waiting for our turn, restocking that market for some time. Can you dig in deeper and talk about more specifically - are you seeing the broad based turn of this some specific projects - programs that are starting to improve - what's your overall thought there in terms of how should we think about that for the rest of the year and in the next year?
Joe Kelley: Well that's - we see from two perspectives, the market itself has been rather squishy here in the last 18 months or so and we're seeing growth now. We're seeing growth, and what's the best part of the growth is more application driven. So that we've had some pretty good runners in both the smartphones and tablet areas for some application base in there. And, so that's what has actually started to kick us off. I think maybe our little bit smarter basis we have applications and all the cameras and also in the tablet area. So, that's really the smartphones and the tablets for your best area to be at right now. And, so, that's what we're saying. And certainly we see that both in our alloy business and also in our AMTS (ph) business. And the AMTS business is more driven by companies such as the Vagos, and the Skyworks and their compound semiconductors in the arsenide private sector.
Luke Folta - Jefferies: Okay. And then just on telecom it seems like 4G you built out appears to be kind of in its last innings --
Joe Kelley: No, no, you're absolutely, I don't mean to be negative here, but no, it's just beginning.
Luke Folta - Jefferies: Talking with some of the folks internally in telecom just seems like the spending up from the major company seems to be kind of winding down and shifting independently in new area?
Joe Kelley: Are you talking about he U.S. or you're talking about - what part of the world you're talking about?
Luke Folta - Jefferies: I guess I would be talking about U.S.
Joe Kelley: I'm not talking U.S., it's exploring right now in China and India.
Luke Folta - Jefferies: Okay. So, looking forward what sort of growth rate do you think we should think about in telecom then over the next -- this year?
Joe Kelley: The telecom is always, it's a creative market, it's probably one of the highest fluctuating markets that we run into because, it's really driven by the, capital spend that goes on as you point out, U.S is probably softer today but then we see a pretty big pickup in China and India. So, my guess is, we're going to see, much higher level in telecom growth this year then last year probably and I would say, probably we will see 10% to 15%. In our particular segment, growth in 2014 and then once you go beyond that, it's always a tough call. We're seeing a lot of growth right now and the growth is driven by Asia.
Luke Folta - Jefferies: How much of your business in that area is against U.S. versus non-U.S. or however you want to break it out?
Joe Kelley: Probably would be, our business really is very much global, so that, today, I don't really have the breakdown on that, because a lot of product is to distributor, so, it's a little bit more difficult for us to determine exactly where all the product going, except that we see a very, very strong pull from our Asian distributors, right now. So, we're probably seeing 65% of our market, 70% our market being driven by Asia at this point.
Luke Folta - Jefferies: Okay. Thank you, gentlemen.
Joe Kelley: Thank you.
Operator:
Marco Rodriguez - Stonegate Securities:
John Grampa: Yeah. That is true. As I say, knock on wood but we pretty much nailed the issues we were having in alloy early in the first quarter, so that pretty much says that because of the lead times through the factory and everything else, you're starting to see the real impact in the second quarter. So, still holding to that, I think we'll see a nice bounce in their performance. So, one of the factors in the second quarter we'll see alloys performance better in the second quarter from the return to better performance, it was particularly in the strip area of our production. That will be back to a good solid performance in the second quarter and also the order of book is stronger in the second quarter. And alloy is also the division where we had the most of the impact on the weather occurred in our alloy operations. So somewhat unique we had to say in the company, probably 75% to 80% of the negative weather impact occurred in the alloy division.
Marco Rodriguez - Stonegate Securities: Can you sort of breakdown then, I mean, you were previously before the yield issues running somewhere in the low, couple of stages 11%, 12% operating margins, is the expectation then that, Q3, Q4, you're back up to that level.
John Grampa: I would say in Q2.
Marco Rodriguez - Stonegate Securities: Got it. Okay. And then, shifting here to the balance sheet real quick, inventory showed a pretty strong increase year-over-year sequentially, can you talk a little bit more about what's driving that and what are sort of your expectations for the inventory levels next few quarters?
Richard Hipple: There is typically in Q1 we do have an investment in our inventories and its not so much to build in Q1 as it is the low levels that we end the year in December. So, as you look at our cash flow forecast going throughout - for the remainder of 2014, we do anticipate to reduce that investment and you won't see a significant investment in inventory on a full year basis.
Marco Rodriguez - Stonegate Securities: And do you think it's kind of gradual decrease there or does it reverse something for normalized level.
John Grampa: Yeah. The typical business pattern is that it will maintain at these levels slight decrease Q2, Q3 and then you'll see meaningful decrease in Q4.
Marco Rodriguez - Stonegate Securities: Got it. Thanks a lot guys.
John Grampa: You're welcome.
Operator: Thank you. Our next question comes from the line of (indiscernible) Private Investor. Please proceed with your question.
Unidentified Analyst:
John Grampa: Hi, I'm a Private Investor in Cleveland and two of the directors of Materion, including Mr. Hipple are also directors of Ferro Corporations. And there was approximately five last year, relate to Ferro and there were two new directors elected there and as a result, there was a company contracted with Ferro called (indiscernible) which is a specialist in procurement and so affected since then up dramatically. I was wondering if Materion is also considered hiring Materion on other considerations to reduce overhead and it seems that Materion has a loaded overhead as far as financial type factors.
John Grampa: Well, I'm not sure where you're getting all the information from but I don't think that’s the case. It's also not appropriate for me to -- I happen to be on the board of Ferro and its not appropriate for me to talk about Ferro issues and things that they're doing. I will say that in the case of Materion, we have made incredible improvements to our procurement area over the last several years. In fact, I talked about that in the calls before not recently because of the changes that we made but say probably five years ago, this company did not have a good procurement practice, we had 20 some plants across the globe and they were all buying the same things. We had no leverages to company. And over the last several years we have put in systems in place. We've taken lot of headcount out of procurement and we've driven by common systems now and we've taken an incredible amount of cost out of this company through procurement systems. So different approaches. We certainly have benchmark with different companies. In fact the company that you mentioned that had worked with Ferro we certainly benchmark with them. So we're very familiar certainly - obviously familiar with what those Pharaoh and I think both companies have made some tremendous progress in this area. So I'm proud of what we've accomplished and we risk a lot of cost out of this company.
Unidentified Analyst: But what about financial overhead type cost? Like, for example, when you do stock repurchases, do you use a discount broker or do you use like a full service broker?
John Grampa: Well we will say, I guess you call it a full service broker.
Unidentified Analyst: But why? Why not use the discount broker?
John Grampa: I don't think that’s appropriate for the things on a regulatory area that we have to meet as a public company when you're entering upon those situations.
Unidentified Analyst: All right, that's all are my questions.
John Grampa: Thank you.
Operator: Thank you. Ladies and gentlemen, we've come to the end of our time for questions. I would like to turn the floor back to Mr. Hasychak, for closing comments.
Mike Hasychak: This is Mike Hasychak. We'd like to thank all of you for participating on the call this morning. I'll be around for the remainder of the day to answer any further questions. My direct dialling number is 2163836823. Thank you very much.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines and have a wonderful day. We thank you for your participation.